Operator: Good afternoon. My name is Ina, and I will be your conference operator today. I would like to welcome everyone to Thinkific's Fourth Quarter and Full Year 2025 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference call over to Joo-Hun Kim, Head of Investor Relations. Please go ahead.
Joo-Hun Kim: Thank you, and good afternoon, everyone. Welcome to Thinkific's Fourth Quarter and Full Year 2025 Financial Results Earnings Call. Joining me today are Greg Smith, CEO and Co-Founder of Thinkific; and Corinne Hua, CFO. After the prepared remarks, we will open up the call to questions. During the call today, we will discuss our business outlook and make forward-looking statements that are based on assumptions and therefore, subject to risks and uncertainties that could cause actual results to differ materially from those projected. These comments are based on our predictions and expectations as of today. We undertake no obligation to update these statements, except as required by law. You can read about these risks and uncertainties in our regulatory filings that were filed earlier today. Our commentary today will include adjusted financial measures, which are non-IFRS measures. They should be considered as a supplement to and not a substitute for IFRS measures. Reconciliations between the two can be found in our regulatory documents, which are available on our website. In addition, our commentary today will include key performance indicators that help us evaluate our business, measure our performance, identify trends affecting our business, formulate business plans and make strategic decisions. Such key performance indicators may be calculated in a manner different to similar key performance indicators used by other companies. I should also note, we have a slide deck that supports our remarks available to download on the webcast interface or on our website. Finally, all dollar amounts discussed today are in U.S. dollars unless otherwise indicated. I will now turn the call over to Greg Smith, CEO and Co-Founder of Thinkific.
Greg Smith: Thank you, Joo-Hun. Good afternoon, everyone. Thank you for joining us. We ended 2025 encouraged by the progress we're making in executing our upmarket strategy as demonstrated by our Q4 results, which came in at the high end of our guidance range. While it's still partway into our transformation, the progress we made in 2025 gives us confidence that the new strategic direction is translating into measurable execution gains. Our 2026 priorities are clear, and we are focused on executing to validate and accelerate the path we are on. We are strengthening engineering excellence by deeply integrating AI into our development processes and platform capabilities while sharpening our go-to-market execution. With releases like Thinker AI agents, we believe we are innovating to deliver the tools that will allow our customers to grow and scale their businesses more effectively, which in turn will deliver measurable progress to Thinkific. Before we proceed, as was announced in the press release after market close today, Corinne Hua will be stepping down from her role as Chief Financial Officer. She's been an incredible partner and leader during her time of almost 6 years with us. Her financial stewardship allowed us to return to profitability, and her focus on always driving growth is foundational to laying the groundwork for the new strategic direction we're pursuing today. We are grateful for everything she brought to Thinkific, and I want to wish her every success ahead. The search for our new CFO is well underway, and I look forward to providing an update at the appropriate time. Kevin Wilson, who has been involved in Thinkific since before our IPO, will provide strong leadership as our Interim CFO. I've had the pleasure of working with Kevin for nearly 6 years, and I'm very confident in his ability to lead us and the team through this transition. We also announced some updates to the Board of Directors. I'm very pleased to welcome Jean Lavigueur to Thinkific's Board of Directors. Jean brings deep financial leadership and a proven track record guiding high-growth technology companies such as Coveo where he led the company through its IPO until 2023 and Taleo, where he was a Co-Founder and the CFO until 2005 when the company went public on NASDAQ. His experience in public company finance, capital markets and governance will be a significant asset as we advance our current strategic journey. I'd also like to thank Brandon Nussey and Fraser Hall for their dedicated service and contributions during their time on the Board. Both have been instrumental in the success the company has achieved, and I wish them the best in the future. Now turning to the quarter. It's still early in our transformation, but once again, we came in at the high end of our guidance. We see this as a reflection of our ability to continue to execute toward our strategic shift upmarket. Crucially, we are seeing signals that our go-to-market execution is improving. The go-to-market teams are now restaffed with new senior leadership in place, and we are focused on establishing the most effective path to market, including validating our outbound motion. On our last earnings call, I spoke about shifting budgets away from lower ROI campaigns and toward upmarket opportunities. Since then, we have made significant shifts in our marketing spend with good results coming in as planned. We are seeing larger brands with significant expansion opportunities enter our sales pipeline. These results are showing up in the quality of opportunities and scale of customers choosing Thinkific. On our last earnings call, I also shared that currently less than 10% of Thinkific Commerce revenue comes from Plus opportunities and how we are investing in Commerce capabilities to meet the needs of customers with larger sales volumes. This is a big opportunity for us. We've improved our billing environments, functionality for larger group orders, pricing and flexibility and notifications and trial periods for subscriptions. The result of this has been larger customers processing larger volumes being more likely to adopt Thinkific payments and earn more revenue on Thinkific. As a result, this quarter, we saw strong growth in the Commerce revenue generated from Plus customers. We're also seeing growth in customers that generate 5- and 6-figure revenues for Thinkific, and we continue to see strength in multiyear deals with built-in accelerators at over 50% of new deals. We are actively investing in supporting and scaling this upmarket customer segment. We see both the need and opportunity to provide higher levels of support and service for these customers, and we're actively investing in this opportunity. On our last earnings call, I spoke about steps we were taking to strengthen our sales team to handle larger, more complex deals. This quarter, we begin to see the fruits of these labors. In Q4, we secured a major win with the education unit of a large multinational media conglomerate. This win showcases our recent improvements, including our new outbound motion, enhanced support capabilities and a deal team equipped to handle the extra rigor of closing deals with larger businesses. This media company came to Thinkific after realizing that the 2 different legacy learning systems they had were not meeting their needs. Their traditional LMSs were hard to use and navigate and lacked modern feature sets, which contributed to user significant frustration and drop off across their learners experiences. They were looking for a more flexible and scalable solution. Thinkific stood out for our platform adaptability, pricing model and ability to support both internal training and external audience education. Key differentiators included Thinkific's ability to scale to support multiple academies, seamless SSO integration as well as a mobile app that improved accessibility and adoption. On our last earnings call, I also mentioned the creation of our outbound motion. This deal was sourced through this new outbound channel. This represents a significant opportunity for additional growth for Thinkific in the quarters ahead. Despite being a smaller division of a multinational organization, the procurement process was rigorous, typical of large enterprise, but our go-to-market team was able to successfully navigate the complexity. Moreover, our recent investments in higher top-tier support teams demonstrates the readiness and ability to support larger enterprise customers and was key to their choosing Thinkific. Many of the recent improvements we've made have started to bear fruit. However, I'm confident there's a lot more growth to unlock here with the product improvements we have coming in the near term, and we should see our investments help us accelerate. Our release late this February of Thinker is a giant step in delivering on these enhancements. Thinker is our AI agent teaching assistant. Customers of Thinkific can now have their own custom agents that are experts in any media and content customers upload to Thinkific. On our last earnings call, I shared that Thinker would be generally available early in '26. We've now launched Thinker and it's currently available to all of our Plus customers. Thinker represents the next step in Thinkific's broader approach of embedding AI across the learning experience. It allows each of our customers to deploy custom AI agents trained on their own proprietary data to interact directly with their learners. The result is a more engaging, more responsive and more valuable learning experience. Thinker leverages Thinkific's own indexing engine, which is designed for response accuracy, a critical need in offering AI support to students and referencing their learning content. Additionally, Thinker allows our customers to create multiple agents trained on multiple topics. Research shows that interaction with instructors is among the most significant factors affecting learner retention and its absence often contributes to dissatisfaction and dropout decisions in online learning. At the same time, identifying timely upsell and cross-sell opportunities remains difficult as businesses work to maximize revenue per learner. Thinker addresses these challenges by providing an easier navigation, faster answers and personalized experiences that's intended to support higher completion rates and satisfaction. It offloads repetitive questions from educators, freeing them to focus on high-value interactions. Customers can create multiple custom agents that are deeply familiar with their proprietary learning content and answer accurately with reference to this material rather than generic web searches, while maintaining brand consistency with a fully customizable tone to ensure every interaction aligns with the business' unique voice and will soon help unlock revenue opportunities by identifying and acting on potential upsell moments. Thinker also provides analytics about the use of Thinker by students, including on the types of questions they're asking. This helps our customers further refine their content and can even identify new opportunities for additional courses or learning products. As Stephen Ekstrom, CEO and Co-Founder of Learn Tourism shared with us, Thinker helps to amplify the learner experience, supporting self-discovery, responding with a more personal tone and engaging people in ways that reflect how they actually learn. The result is learning that is more effective, more relatable and more memorable at a scale we simply couldn't achieve manually. Thinker is currently available to Plus customers, and we believe it will act as a catalyst to drive further adoption of the platform as well as ARPU or ACV expansion. Now that Thinker agents are actively being used by customers, we are seeing positive feedback. Additionally, we've identified a number of opportunities to expand its capabilities to enhance the offering to our customers and the revenue opportunities for Thinkific. To date, Thinkific is seeing benefits of AI in 2 principal categories: improvements in our productivity and efficiency and how we work, allowing us to produce more value at lower cost in most areas of the company. Specifically, we've seen significant gains in customer support and R&D. Also, we're incorporating AI into our product for the benefit of our customers with Thinker, our custom agents, AI agents for our customers being the most recent innovation here. As a next step, we see an opportunity for some onetime investments to significantly improve future efficiency, productivity and innovation, specifically in R&D. We are currently making some mostly onetime investments to equip our engineering teams with best-in-class AI tools and best practice methodologies. Our expectation from this short-term investment is clear, drives significant productivity increases in our engineering teams. This will mean we'll see a 2% to 5% adjusted EBITDA loss in Q1 as we increase our AI-driven investments and quickly returning to adjusted EBITDA profitability thereafter. We have an ambitious product launch schedule ahead, including a comprehensive platform refresh, enhanced content management and commerce capabilities designed to better serve our ideal customer profile. This surge will enable our teams to operate on a higher level, accelerate our pace and ultimately deliver more value, both internally and ultimately for our customer. Once complete, the company will be ideally positioned to accelerate growth, expand margins or strike the optimal balance between the 2 to best enhance shareholder value. I am genuinely excited about the progress we've made. At the same time, I'm deeply impatient and I'm working hard to accelerate our progress. It takes time for all the actions we took to take effect. With the investments we've made and the strategy we've put in place, I do expect we'll be able to share concrete measurable evidence of progress as we execute on our new strategy by the end of this year. I'll now turn it over to Corinne.
Corinne Hua: Thanks, Greg. Good afternoon, everyone. Our fourth quarter financial performance came in at the high end of our guidance range, driven by continued penetration gains in Commerce and progress in focusing on our upmarket opportunity. Fiscal 2025 marked a pivotal period for Thinkific. We embarked on a strategic repositioning, focusing our product road map and go-to-market efforts on a narrow segment upmarket. We believe this more targeted approach addresses a large underserved market who are looking for a comprehensive platform that can help them grow and scale their business. We are confident that this focus will also accelerate Thinkific's long-term growth trajectory. As Greg has already discussed, we are making targeted onetime AI-related investments in research and development to better serve our upmarket customers. These investments are designed to accelerate the delivery of our product road map and drive productivity gains across the entire organization. We expect these investments to position Thinkific to deliver revenue growth and drive sustainable margin expansion, thereby enhancing long-term shareholder value. While we expect an adjusted EBITDA loss in Q1, we will see improvements as we move throughout the year. On to Q4 financial results. For the fourth quarter, revenue was $18.7 million, up 6% year-over-year, driven by the continued penetration of Thinkific Commerce into our customer base and improving execution of the go-to-market teams in Thinkific Plus. For the year, revenue was $73.2 million, up 9% year-over-year. As part of moving upmarket, we've purposefully scaled back certain traditional go-to-market activities where we weren't seeing the returns we expected. These adjustments allowed us to concentrate resources on larger, more strategic accounts with greater lifetime value, positioning the business for more durable, high-quality growth over the long term. ARPU of $175 per month was up 5% in Q4 and up 5% for the full year of 2025. The increase in ARPU came from the growth of Commerce revenue and the continued progress we're seeing in Thinkific Plus, where ARPU is approximately 20x that of a typical Self Serve customer. Subscription revenue for Q4 was $15.2 million and ARR was $61 million, both up 5% year-over-year. For the full year, Subscription revenue was $59.8 million, also up 5%. The growth in Subscription revenue for the quarter and year results from continued strength in Thinkific Plus, offset by softness in Self Serve. Commerce revenue was $3.5 million, up 13% quarter-over-quarter, and $13.4 million or up 32% for the year. The growth reflects continued penetration of Thinkific Commerce across our customer base, including significant improvements within our Plus customer group. Penetration, which is measured as GPV as a percentage of GMV, increased to 62% in Q4 from 61% in the prior quarter and 52% in the prior year. It's worth noting that given our current product offering in Commerce and the makeup of our customer base, we are near a plateau for Commerce adoption. We expect to see penetration growth slow down and flatten as we approach the mid-60% range. The near-term impact of this is we expect normal seasonality of Commerce volumes to result in Q2 Commerce revenue being roughly in line with Q1. From there, we see continued Commerce growth opportunities through a number of levers, including growth of GPV from our larger existing customers, the movement of currently off-platform sales onto Thinkific Payments, continued adoption from new customers, and importantly, as we've moved upmarket, we are seeing more new customers with large sales volumes starting on Thinkific Commerce. GMV for the quarter was $117 million, up 2% versus a 3% growth last quarter and the flat growth in Q4 of 2024. For the full year, GMV was $460 million, flat from the prior year. Take rate of 4.3% for Q4 was down from the 4.5% in Q3 and a 4.4% average for all of fiscal 2025. We expect the take rate to fluctuate around these levels quarter-over-quarter, influenced by the geographical mix of sales and the specific commerce tools utilized. For instance, this quarter saw higher international sales that generally carry a lower take rate as they utilize a lower-cost payment options like ACH. Our sales tax solutions aren't available to them, and they have lower usage of options like buy now, pay later that have a higher take rate. Now on to revenue by customer group. Self Serve revenue reached $13.7 million in Q4, up 3% from Q4 of the prior year. For the full year, Self Serve revenue was $54.2 million, up 6% year-over-year from 2024. Q4 and the full year 2025 growth reflects expanding Commerce revenue, offset by higher churn and lower tier accounts amid our focus upmarket. Thinkific Plus revenue was $5 million, a 17% increase from Q4 of 2024. For the full year 2025, Plus revenue was $19 million, up 21% year-over-year. The deceleration of Thinkific Plus revenue in Q4 relative to the first half of the year and for the same period in 2024 is due to hard compares following the release of the highly anticipated SCORM feature in the summer of 2024 and the sales force disruption that we experienced early in 2025. We are beginning to see positive signs in our sales team as it stabilizes from the summer. We are pivoting ad spend upmarket which along with the rebranding we began the spring of 2025 is having a positive effect. And we see larger companies with greater expansion opportunities entering our sales pipeline. Gross margin was 72.5% as compared to 73% in Q3 and 75% in Q4 of 2024. As we discussed in prior calls, the gradual decline in gross margin over the past 2 years is largely due to a shift in the revenue mix towards Commerce revenue, which carries a gross margin that is lower than Subscription. Moving to operating expenses. Total operating expenses was $13.6 million, in line with the prior quarter and the prior year. We increased our engineering investment of $5.8 million sequentially to accelerate the product road map and advance our AI initiatives. These increases were offset by a reduction of almost $500,000 in sales and marketing, which came in at $4.6 million. The reduction was a result of a decrease in promotions and advertising spend aimed at the creator market. While we have reallocated go-to-market resources towards the upmarket segment, we're still testing and iterating on different paths to market in order to identify the most effective channels before meaningfully ramping spend. For the full year, operating expenses were $54.9 million versus $52.8 million in 2024. The increase in operating expenses in 2025 came from increased investments in product development. Q4 adjusted EBITDA totaled $1 million, representing 6% of total revenue, an improvement of approximately $100,000 compared to Q4 2024. For the full year 2025, adjusted EBITDA was $4 million, up from the $3 million in 2024. Cash from short-term investments as of December 31, 2025, was $51 million, a decrease of $1 million from the prior quarter. This reflects cash usage of $494,000 from operations and $445,000 used in the repurchasing of common shares for the purchase of cancellation. The usage of cash in Q4 is a result of working capital changes that occur intra-quarter. For the full year, cash from operations was a positive $5.6 million. We believe adjusted EBITDA is the best predictor of operating cash flow for the company on a normalized basis. Reiterating Greg's comments, we are making solid progress in embedding AI across the company and see a growing pipeline of opportunity coming from businesses looking for a more comprehensive, scalable platform to help them grow their businesses. To drive continued growth, we are committed to targeted investments with AI within our R&D team. For the first quarter of Q1 2026, we are expecting revenue of $18.6 million to $18.9 million, representing growth of 4% to 6%. We expect adjusted EBITDA to be in the range of a loss of 2% to 5% of revenue due to the aforementioned strategic investments within R&D with improvements in adjusted EBITDA expected as we move through the year. This is my final earnings call as the CFO after almost 6 incredibly rewarding years here at Thinkific. I'm proud of the team I was a part of building across the entire organization and the transformative achievements we've delivered together. Though I'm leaving, I have confidence in the team's ability to lead the organization into the future and look forward to continuing to cheer them on to success. And with that, we are now happy to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Stephen Machielsen from BMO Capital Markets.
Stephen Machielsen: So I just want to touch on the increased investment in engineering. I'm sure that some of the releases of the coding tools that have come out since we've last spoke and they're probably helping drive this. But I just want to get a sense of what -- how has your thinking changed about your product road map since last quarter? Are there -- are you accelerating a lot of potentially revenue-generating features as well? Or is it primarily going to be investing in the core platform?
Greg Smith: Thanks, Stephen. Good question. Yes. So on the road map and how we're thinking about that, it is -- it has changed, and we just went through actually over the last couple of weeks, a lot of planning around looking at the road map looking ahead. and really how do we leverage AI, both in terms of how we're building, which is where some of the investments are, but also in terms of the product that we're offering. Thinker is a huge step forward in this. Again, that's our AI teaching assistant. It really has the potential to be a stand-alone product that's entirely AI-driven. I'm also looking at or we're looking at a lot of ways that we can leverage the assets that we have that you could not build with AI elsewhere. So there are some network effects. There's some data, significant media assets. These are things that we can leverage to create products for our customers that no one could build on their own. And so there's a lot of opportunity for us to work that into the road map. And Thinker is one big step in this direction, of course.
Stephen Machielsen: Okay. And just sticking with Thinker. I know this won't be your last AI-powered tool or I can't imagine it would be. But just wondering how the -- how you're thinking about monetizing it and the economics? And is there enough unit economics in it for it to be eventually rolled out to the rest of the Thinkific base?
Greg Smith: Yes. It's -- both good questions. On the monetization, it's included in Plus plans, but there is usage pricing -- or sorry, it's outcome pricing. So as we see customers have success, this does seem to be the fairly standard in terms of how AI tools are being priced. It works great and that customers are paying for the results that we're getting or they're getting. We're seeing good results already from how Thinker is being used already. And so what we get to see is customers have the ability currently to roll this out to their students, their customers. And the more they save and the more they gain from interactions, either they didn't have or have to have because Thinker does it for them or even revenue opportunities that it can create, that turns into billing for us. But right now, it is included with some success outcome and outcome-oriented pricing into the Plus plans. And then in terms of rolling it out to the broad base of customers, we are looking at that. It's -- that will be an interesting one. I think eventually, we will make it available to everyone. But right now, it's really focused on the larger, more successful group of customers and unlocking it for them.
Stephen Machielsen: All right. That's it for me. I just want to say, Corinne, it's been great working with you, and I wish you all the success going forward.
Operator: And your next question comes from the line of Gavin Fairweather from ATB Cormark.
Gavin Fairweather: Maybe just on Self Serve, despite the lower marketing on earlier-stage customers, revenue is pretty flat sequentially this quarter as one might have expected a bit of a decline and the guide for Q1 is showing kind of further growth. So is the readthrough here that you are having success at this stage of the transition kind of backfilling some of that earlier-stage churn with kind of more established customers?
Greg Smith: Yes, I'm really impressed with the discipline within our go-to-market teams on spend, and they've self-identified a lot of opportunity over the last few quarters to save. And I think you're seeing part of it reflected in the go-to-market spend, not all of it because some of it is again being redirected upmarket. But they saved a significant amount there and yet they've been able to do it with discipline and intelligent approach such that we're really not seeing much of a decline. In fact, we sort of made estimates as to what kind of a decline we would see, and we're beating all of our estimates. And as you're pointing out the numbers, it's looking pretty good despite the cuts in ad spend there.
Gavin Fairweather: Great to hear. And then maybe just curious what you're hearing in the ecosystem on Udemy. I mean, obviously, they've announced their kind of merger with Coursera and then they had that partnership with OpenAI, where they're going to send a bunch of their content kind of into the LLM. Wondering what you're hearing from prospects and customers and whether you could see any kind of opportunities for Thinkific through all that disruption.
Greg Smith: Yes, I mean the -- they don't come up in the competitive set for us just because they're the marketplace, and I know you know that, but they don't come up in the competitive set for us in that way and that our customers couldn't use Coursera or Udemy for the same kind of solutions that we offer. But the selling through LLMs is definitely something we've been looking at and have some opportunity to do. I think the -- we've seen Shopify do this. And yes, definitely with MCP, there is that opportunity where you're having your conversation with your favorite LLM and then courses or other learning opportunities are presented to you. In a sense, that is some of what Thinker can do in the future as well. So lots of opportunity for us there and definitely something that's being considered in our road map.
Gavin Fairweather: Great. And then just lastly for me, it's been, I don't know 7 months, 8 months since kind of the rebuild of the leadership team in Plus. Your growth was pretty flat sequentially compared to what you did last quarter. But maybe you can just update us on what you're seeing in the pipeline and what you're seeing with the AE team. Obviously, a nice win that you announced alongside the results, but maybe you can just unpack what you're seeing under the hood there, whether we can expect a reacceleration in '26?
Greg Smith: Yes, that is the intent is to reaccelerate here. What we're seeing is really the logos that are coming in are excellent, surprised even by the sort of size and pedigree of the companies that are coming to us through our brand and go-to-market. And a lot of what we're hearing from them is that we have things that no one else does. And so there's something we're doing right here, and I think we have a good understanding of it to be able to go and get more of these people coming into the pipeline. We're seeing good results in the retention and upsell and expansion opportunities and what the team is doing there. And there's a lot coming from product that will double down on that opportunity as well. And then the area where we're learning and growing as well as is in being able to land these larger deals. And the one I talked about today was one example, but there's a bunch of others that's come through recently, a few more that are close to closing that the team is doing a great job of quarterbacking these much more complex deals. It's really starting to shift from you're having a one-to-one conversation with a single buying decision-maker at an organization of 25, 50 people to you're having a quarterback a variety of different stakeholders and decision-makers and champions across a larger organization. Again, for much larger deals, which is a great opportunity for us, and we're starting to see the team come together and have some real strength in that as well. So pretty excited about the potential for an acceleration there as well.
Gavin Fairweather: Corinne, I'll echo Stephen's comments, it's been great working together. All the best.
Operator: And your next question comes from the line of Robert Young from Canaccord Genuity.
Robert Young: I guess I'll say, first, Corinne, it's been great working with you. Look forward to working with you somewhere again. For the questions, I was maybe a little bit like Gavin's question. I just wanted to see if you could dig into, maybe give a little more insight into what the top of the funnel looks like and what the sales cycle looks like after these changes. You said that there are customers with significant expansion opportunities. I think you said that some deals have built-in accelerators. I wonder if you could talk a little bit about that. And I think you said 5- to 6-figure deals. Is that MRR or is that annual revenue? If you could talk about what that means.
Greg Smith: Yes. So a few things there. The 5- to 6-figure is a simple one, that is annual revenue, and that can be a combination of our Subscription revenue, combined with the potential for Commerce revenue. Another exciting thing that's happening here is we're seeing really good adoption rates from these larger and Plus customers coming in, and they have the potential to do larger volumes than we've seen before. So that's exciting as well. We're seeing those numbers up considerably in terms of the volume of Plus customers who are hopping on to Thinkific Payments. Part of that is a lot of the work we've done on the product side to increase the complexity and power of those features for larger sellers and their expectations. It's interesting. It's been a competitive advantage for us in the selling process and that they're often coming to us where it's not necessarily on their RFP as a requirement because they do have other options to process payments or maybe doing it somewhere else. But then when they realize they can bring it all into one system with us that's truly integrated and works the way they need it to, it quickly becomes a strong selling feature and can help us win the deal. And then yes, on the expansion, part of that is the Commerce component, but part of it is the maturity of the team developing better conversations, better systems and processes for dealing with these more senior customers, offering stronger services on an ongoing basis is creating a lot of opportunities. So within the team of our customer success team, they've done a lot of work that we're quite proud of that's improving this. And so we see more opportunity there. And then, yes, on the multiyear, we're still seeing, over the last few quarters, consistently over 50% of deals are multiyear and that typically has a built-in accelerator over the course of the multiyear deal, which is exciting as well. And we're just now starting to roll over some of those accelerators. So that will be helpful on the expansion going forward as well.
Robert Young: Okay. And I would assume most of that's going to be within the Thinkific Plus segment, obviously, but it wasn't so long ago, you were talking about a 30% growth target. Is that still where you think that business will grow over the medium term? Is that still the target? Or would you revise that?
Greg Smith: Yes, that's where I'd like to get back to. I think we can do that. There is a ton of opportunity as possible we can do more there. So I don't want to limit us to just that, but I also don't want to give guidance on a very near term for that because we still have a little bit of a way to go to get back there, but there's certainly a lot of opportunity. The -- we've been surprised at the volume of opportunity within the pipeline and what we're seeing and what we're able to generate. Now it's just about getting to work on capitalizing on it, both from a sales and a product perspective.
Robert Young: Okay. And then last question, I guess, would be just to push you on this -- the expectation to get back to positive EBITDA. In different parts of the prepared remarks, I think you said that you would like to strike the optimal balance between margins and growth acceleration. And so like would you still expect positive EBITDA for the full year? Or is this a point in time when you're really looking at everything given CFO change and a lot of perhaps the strategy may change, et cetera? Maybe if you could just give a sense to investors how serious you are in that expectation of EBITDA will be positive.
Greg Smith: Yes. And to be clear, no connection or relation to CFO change in any of this. And definitely, I'm very serious about getting back to positive. It's where I'm most comfortable operating. I think it's where any business should operate. But at the same time, for this quarter, what we saw was a real opportunity to invest in something that was extremely important for our future, which is really an investment in AI, both in how we're using it for our customers and how we're using it internally. So I think, in the midterm, that will actually play out with a strong ROI, and so it seemed a good investment there. And yes, quite committed to getting back to that profitable level and then scaling it up from there.
Operator: And your next question comes from the line of Todd Coupland from CIBC.
Thomas Ingham: Great. Corinne, good luck in your -- the next phase of your career, and thanks for all the help. Really appreciate it. I had a few questions. First on the Plus pipeline. What's your sense on the rhythm of that pipeline in terms of efficiency of go-to-market now, how much is yet to be done before you're starting to get that performing at a level you'd like to see it? Are there any milestones that you can sort of put out there for us to help us track sort of pipeline to close rates to maybe other goals that you have there? Could you just talk about that, please?
Greg Smith: Yes. And it would probably be useful for us to come back with even more detail on, but I would say that -- I can definitely speak to some of it now in that we're -- some of the things we can where we -- I've talked about some of the things we're doing well, some of the things we can work on here is further improving capitalizing on the pipeline of leads and opportunities that we're generating. They do still close quite quickly. We're still seeing most deals come in at 30, 45 days. One thing that's actually accelerated for us quite considerably is how quickly we're getting customers to launch, which has been a big selling feature as well, which is getting them launched typically in under 60 days when they're coming in with expectations from other companies that it's going to take much longer. That does help with the pipeline because it gets them up and running and helps with the expansion and retention opportunities in the future as well. In terms of time lines, I think through this year, we're going to be seeing some key big improvements, both in terms of lead generation partly through new channels like outbound that we're pushing more significantly now and starting to see. I think that one, we've made a few attempts at it. We finally got -- started to get it figured out where the opportunity is. So that should improve the overall pipeline and the kind of deals that we can be closing there. And so through this year, I think there'll be some key milestones, particularly in Q3 and Q4, where we should see that tick up overall in terms of the impact of the sales pipeline.
Thomas Ingham: And you had said you were pleasantly surprised recently for getting selected by these larger entities. What are they picking you for? And who are you replacing?
Greg Smith: Yes, it's a combination on both fronts in terms of who we're replacing and what they're picking. Typical legacy LMSs that -- a variety of them that are out there. And the reasons they're picking us, Commerce is one of them, that ability for us to have integrated Commerce into it. Certainly, the user experience and ease of use and the student experience and learning experience, this has been a big one for us, and it's actually something that's going to get a lot more powerful for us over the next few months. We've really over the last 9 months invested heavily in improving our overall learner experience. And so you'll see quite a big improvement on that rolling out in the very near term here and then getting out to all customers over the course of this year. But that's been a big win for us as well. Some of it as well has been our investments in AI. Thinker is starting to win us more deals and have more -- helped with more conversations with customers. So it's a combination of factors, just that ability for us to meet their needs where they are. We actually had one large account come through recently that had a number of competitors in the process and very quickly identified that it wasn't a matter of choosing. The choice became a lot easier when they realized we were the only one that actually met all of their needs. So we have a number of unique things that are helping us win these deals.
Operator: That ends our question-and-answer session. I will now hand the call back to Greg Smith for any closing remarks.
Greg Smith: Thank you, and thank you for everyone attending. I just want to say one more big thank you to Corinne. It's been amazing working with you, and I know we'll stay in touch lots. And thanks for everyone for attending. Again, I am a mix of impatient and excited about the future. We're seeing a lot of good signs in terms of our road map, the deals that are coming in, the opportunities we have with product and specifically with AI and what we can do with our customers and how we can help them. There are also a variety of things that we're working on that really only we can do that will set us apart and differentiate us even further, especially in this world of increasing use of AI. And so I do see good things ahead, and we're pushing hard to achieve them for all of you. Thank you.
Operator: This concludes today's call. Thank you for participating. You may all disconnect.